Operator: Good morning, ladies and gentlemen. Welcome to the Martinrea International First Quarter for 2016 Results Conference Call. Instructions for submitting questions will be provided to you later in the call. Please be advised that this call is being recorded. I would now like to turn the conference over to Mr. Rob Wildeboer, Executive Chairman with Martinrea International. Please proceed, sir.
Rob Wildeboer: Good morning, everyone. Thank you for joining us today. We always look forward to talking with our shareholders and we hope to inform you well and answer your questions. With me this morning are Pat D’Eramo, Martinrea’s CEO and President; and our Chief Financial Officer, Fred Di Tosto. Today, we will be discussing Martinrea’s results for the quarter and year ended March 31, 2016. I will make some opening remarks, Pat will make some operational and strategic comments, Fred will review the financial results, and I will make some further comments and then we will open the call for questions and we will endeavor to answer them. Our press release with key financial information discussed on a fairly detailed basis has been released. Our MD&A, AIF and full financials are filed on SEDAR and are available. These reports provide a detailed overview of our company, our operations and strategy, and our industry and the risks we face. Given the detail in our press release and filed documents, our formal remarks on the call today will be generally overview in nature and fairly brief. We are very open to discussing in our remarks and we hope in the Q&A some highlights of the quarter, the state of the industry today, how we are addressing the challenges and progress in our operations. As always, we want you to see how we see the world. As for our usual disclaimer, I should note that some of the information that we are sharing with you today may include forward-looking statements, even if qualitative. We remind you that these statements are based on assumptions that are subject to significant risks and uncertainties. This is particularly the case given the present automotive and economic environment. Although Martinrea believes that the expectations reflected in these forward-looking statements are reasonable, we can obviously give no assurance that the expectations of any forward-looking statements will prove to be correct. Our public record, which includes an Annual Information Form and MD&A of operating results that I just mentioned is available on www.sedar.com, and you may look at a full disclosure record of the company there. I also refer you to the disclaimers in our press release, our MD&A and our AIF. Let’s talk about the state of the industry at a macro view for a minute. We are positive and optimistic about our industry. We recognize it is perceived as cyclical and it has gone through some tough times periodically. For the most part, I believe external non-automotive related events drive this perceived cyclicality. The last time industry volumes tank in 2008 and 2009, we had a worldwide financial crisis and an oil price shock. In previous time, 1990 to 1992, we had a significant recession for those who spec and recall it. In really bad economic times people buy less cars. If you believe that we are not heading into a recession, I say auto volumes would decline or that our industry is cyclical. People don’t wake up and start buying vehicles because there are other fashion. Industry volumes affect our revenues in many ways, but our views about overall volumes are positive and can be summarized as follows. The automotive industry worldwide remains a growing one as worldwide volumes are anticipated to continue to increase. We do have a presence as the supplier in China and while there is certainly been a slowdown in China, it remains a robust automotive market which is anticipated to grow. Our presence there is small at the present time but our plans are likely to grow and are growing, just based on the book of business we have today. We have a presence in Europe which has seen some increases in volumes, and is doing better as a region than a few years ago. Our presence is anticipated to grow based on what business for our operations in Spain and Germany which is aluminum-based business and Slovakia, which is fluid handling systems-based business. North American volumes remain robust, some commentators who stated it may have plateaued and that was causing some concern for some, our view is that volumes are going to continue to stay strong and may increase for the balance of the decade. Even in a time of general market caution, our view is that the fact remains there are number of critical tailwinds for the North American automotive industry that remain in place in 2016 which is today. Population is expanding. Miles driven is expanding. Mexico is experiencing a positive wealth effect increasing vehicle purchases. The average age of the typical view on the US, vehicle in the US is close to 13 years up from eight years, ten years ago. Financing rates are low. Auto inventory levels remain at historically reasonable levels. The US housing market is not overheated. Consumer debt levels in the US has improved. The North American economy is growing albeit at a moderate rate. In addition to those factors, reasonable to low oil and gas prices increase the affordability of driving of vehicles and lower commodity cost increase our customers’ cost in making the vehicles. It is to be remembered that current vehicle volumes are not at historically inflated levels. Volumes today are similar to what they were 15 years ago or 10 years ago. As it relates to our position in the industry, our core product offerings are focused on areas critical to our industry. Our steel metal forming and aluminum businesses are focused on providing quality structural parts to the industry that are not only safe and strong, but lightweight. We are a company that is at the forefront of the trend to light weighting of vehicles in order to improve fuel economy or reduce carbon footprint. This is an exciting time for lightweight. Our fluid handling systems business is a leading edge provider of environmentally friendly fluid systems. Our capless filler products reduce pollution. Our coatings on our fluid handling system products are environmentally-friendly. In sum, we have products that our customers need and we are leading edge providers of them. That’s the macro view from our perspective. And now, here is Pat D’Eramo
Pat D’Eramo: Thanks, Rob. It’s a pleasure to talk to all of you today. I am very proud of the Martinrea team that continues to deliver on the key metrics that we committed to. We had another record quarter improving efficiency, solid launch activity and performing well for our customers. Overall, I am pleased as Rob likes to say, we are putting pucks in the net quarter-after-quarter. Fred will get into more detail on the financials in a minute. So let me talk a little bit about the operations and our people. Quality performance is a priority for our customers. This is the first of our ten principles. Our quality continues to improve throughout the company and what is particularly pleasing is getting notification this quarter that we will receive recognition from a number of our customers. Metallic, aluminum and our assembly groups have won awards from customers such as GM, Ford and Nissan. Quality is the basis of being a go to supplier for customers and we are very pleased with our improving performance. As you know, we won a lot of work from our customers this past year. Great evidence to both our customer satisfaction and our ability to deliver quality products on-time. Similarly, safety is critical, not only for the health of our people, but it illustrates the effectiveness of our plant leadership in many respects. Another indicator that our plants are improving is reflected in a significantly improved safety results, particularly in a number of our metallic plants. Last time when we announced our early year results, I talked about many of the things that we are doing at Martinrea is develop our culture, the Martinrea way. A few weeks ago, we brought together our General Managers, business unit leaders, functional leaders, basically our top leadership for an intensive off-side labeled Martinrea 2.0. We’ve done a tremendous job building a foot print over the past 14 years to establish a base going forward. Those who have worked on this growth are to be commending. We call this part one or book one of our company’s history and it is certainly a good history as well as an interesting one. Going forward, we need to emphasize one company or one Martinrea through teamwork together represent one common face to the customer to share our strengths and our learnings across the enterprise. To work together to take advantage of our size and scale. We will continue to work together to improve our operational excellence with an emphasis on kingdom over castle, working to fulfill our vision of being the best automotive supplier in the world in the products and services we provide our customers. This was a great event. I have been to many of these types of events in my career and this was a benchmark. The people at our company are talented. They are enthusiastic, they are entrepreneurial, and we working together, are delivering a great future and I am confident that all of our efforts will be reflected in an increasing commercial success. To be clear, this offside was not a raw, raw then, but we did had some fun too. It was an intensive experience for those involved. A high performance culture focusing on developing more talent inside for the future, improving our financial acumen including risk management for our local leadership teams, customer training in terms of how to we consistently market and outperform the customers’ expectations. And of course, operational excellence including increasing use of leading-edge flexible processes, visual management, problem solving and lean tools framed by or learned by doing thinking way. This was not a one-time activity. In fact, starting later this week, I will begin to follow-up facility-by-facility reviewing action plans by plant assuring my support for their success. Our customers, investors, and the 14,000 plus people who work for Martinrea can rely on this to get this right. As I said on our last call, our core concepts are sitting on a show. They are being deployed successfully. With that, I’d like to turn it over to Fred Di Tosto, to talk about the numbers in a little more detail.
Fred Di Tosto: Thanks, Pat and good morning everyone. The first quarter was another solid quarter for us. A record first quarter. Sales grew year-over-year and operations continued to improve. First quarter sales, excluding $35 million in tooling sales, came in just over $1 billion, consistent with previously provided guidance. Overall production sales increased by approximately 13% year-over-year in large part due to foreign exchange translation from the year-over-year weakening of the Canadian dollar against the US dollar. In addition to foreign exchange translation, year-over-year production sales benefited from the launch of new programs, including the Ford Edge, GM Malibu, and aluminum knuckles and control arms for Jaguar and Land Rover. We continue to ramp up of our new fluids operations in China and Slovakia and increased volumes on the Chrysler Mini Van platform which was down for 13 weeks in 2015 through retooling. These positive factors were offset by lower production volumes on certain platforms including the Chrysler 200, a fairly significant program for us and stemming from lower customer sales on the platform, coupled with FCA’s announced plans to exit small and mid-sized passenger vehicles. The Chrysler Pentastar engine block which was re-tooled during the quarter and certain other vehicles lighten in their life cycle. Lower volumes in our German operations including the impact from the sale of the Soest facility in 2015 and we expected higher than normal roll-off and reduced production volumes in Brazil which continues to experience overall depressed levels of production given the macro variables that play in that market were also factors in the quarter. From an earnings perspective, the first quarter was a record first quarter. Net earnings per share in Q1 on a basic and diluted basis was $0.38 up nicely year-over-year and quarter-over-quarter despite a $2.1 million foreign exchange loss for the quarter coming predominantly from our Canadian operations as a result of the more recent strengthening of the Canadian dollar. This compares to a $2.3 million foreign exchange gain in Q1 2015 and an $800,000 gain in Q4 2015. Q1 net earnings per share was at the high end of our previously announced earnings guidance range. I am also happy to report that we did not have any adjustments to earnings for the quarter. First quarter operating income and EBITDA margins improved year-over-year and quarter-over-quarter despite continuing through operating a normal course launch-related cost in new operating facilities, used volumes on the Chrysler 200 platform as previously noted and customer shutdowns through retooling and in particular the slowdown in our Martinrea Honsel, Mexico facility during the quarter as Chrysler moved to the next generation of V6 Pentastar engine blocks. Despite these factors the North America operating income margin for Q1 remain relatively flat year-over-year, but then improved nicely quarter-over-quarter. A lot of progress is being made in many plants across the organization, in particular in North America and we are seeing the benefits of those efforts. Our operating income margin in Europe for Q1 did increased year-over-year despite lower production sales at our Martinrea Honsel German operations as noted. The normal course launch-related cost in Spain. The business in Germany has benefited from the recent restructuring efforts as it comes out of a temporary lag in production and prepares to launch new works starting in 2017. Our relatively new plant in Slovakia continues to ramp up and improved which contribute to the year-over-year margin improvement in Europe. Europe operating income margin did decreased quarter-over-quarter with the lower volumes in Germany and at Spain continues to ramp up and incurred normal course launch-related costs. Operating results in the rest of the world representing China and Brazil for us, improved year-over-year despite increased pre-operating cost in our second facility in China – aluminum products and the challenging environment in Brazil. These factors were offset by the ramp up of our new fluid systems plant in China which is slightly ahead of stride and is now profitable. Overall EBITDA for the quarter was $89 million or 8.6% of total sales representing a strong 19% year-over-year increase. Looking forward, from a margin perspective, we continue to expect steady progression as we work toward the 6% operating income margin by 2017. As for the second quarter, we are expecting another solid quarter. Sales for the second quarter, excluding tooling sales, are expected to be between $960 million and $1 billion and net earnings per share is expected to be in the range of $0.43 to $0.47 per share which will be a record second quarter for us. Q2 is generally our strongest quarter in any given year from a volume perspective, but as you can see from our sales guidance, we are expecting production sales to be below Q1 levels. There are three reasons for that. Firstly and most significantly, we report in Canadian dollars and with the more recent strengthening of the Canadian dollar against the US dollar, our reported sales will be negatively impacted by the translation of our US-denominated sales into our Canadian dollar reporting currency. Excluding foreign exchange translation, production sales are expected to be up quarter-to-quarter. A similar dynamic as it relates to FX translation exists with earnings but the impact is far less no risk. Secondly, GM announced some one-time shutdowns of four of its assembly plants because of parts shortages caused by the earthquake in Japan and that is expected to have an impact on Q2. Thirdly, we expect production volumes on the Chrysler 200 platform to continue to be low. A situation we are monitoring very closely given Chrysler plants to exit the small and mid-sized passenger vehicles segment. All these factors have been incorporated into our Q2 guidance. I also just wanted to quickly touch upon the balance sheet. As expected, net debt for the first quarter increased by $34.9 million quarter-over-quarter due predominantly to seasonally higher working capital levels. Our trailing net debt to adjusted EBITDA as at the end of first quarter was 2.18 times essentially consistent with the ratio at the end of 2015. Our target still remains to be at 1.5 times net debt-to-adjusted EBITDA by the end of 2017. As Rob will note, we are very comfortable with our capital structure and lending relationships. Thank you and I’ll now turn it back over to Rob. 
Rob Wildeboer: Thanks. As Fred noted, I would touch a bit on our capital structure which I believe is strong, it’s strengthening and is appropriate. Our relationships with our lenders who we view as stakeholders and partners are terrific. Our lending group financed this through the great recession of 2008 and 2009 and since and financed the purchase of both our initial interest in Martinrea Honsel in 2011 and the purchase of the balance of the ownership in August 2014. In utilizing debt to buy Martinrea Honsel, our company avoided issuing equity to finance the purchase and that’s avoided shareholder dilution. Although our debt levels increased with the purchase, our financial ratios remained strong as the cash flow of Martinrea Honsel supported the new debt. Currently, our net debt to EBITDA ratio is approximately 2.18 times as Fred mentioned which is very manageable. This ratio is supported by increasing cash flow. Further as Fred noted, we have indicated a target range of 1.5 by the end of 2017 achievable by increasing cash flow and pay down of debt from that cash flow. Last week, we updated our lending arrangements with our bank syndicate comprised of nine leading national and international banks. We routinely work with them on our facilities to ensure that we are reflecting market conditions. In this go around, we extended the maturity date by two years through April 2020 with no increase in rates or financial covenants and with a number of changes to our benefit including increased availability in the bank lines and increased flexibility on asset-based financing and tooling financing and increased accordion feature and an increased ability to do transactions. Having said that, whenever we do a transaction, we keep our lenders appraised as we treat them as partners. I want to stress that our lenders have come to know us very well and they see our budgets and see that we meet them. They see that we meet our deliverables. They diligence us extensively. One of the things that we did with our lenders in the last month is take them on a tour of several of our facilities in Mexico for diligence purposes. They saw our Saltillo, and Arteaga fluid systems facilities which are state-of-the-art and expanding with new business. I believe these are two of the finest fluid systems facilities on the planet. The lenders saw our Estampados stamping facility which is organized in clean and expanding with new business, a very fine facility. They saw our existing and brand new aluminum casting facilities in Querétaro which are wonderful to the hold. As Pat noted, one customer recently assessed it for new business and rated as one of the finest supplier facilities in the world he had ever seen with a top score rating. Our lenders not only saw the facilities, they make great management teams at each of these plants and a vibrant, energetic workforce. Let’s just say the trip went very well. Every lender took up their allocation and several have to lend more after the trip. Incidentally, as an interesting aside, our lending group includes several banks, as we shown the securities dealers as analysts who are on the call here today. For investors, if you have questions about the state of risk in our industry, it would be interesting to talk to the bank credit guys who assess risk. I only say that [Indiscernible]. There is in my view in some cases, a disconnect between the perception of our industry by creditors to the sector and by some at least on the equity side. I want to remind you of our Annual Meeting coming up on June 9, 2016. Our proxy materials will be out shortly. Please join us at the meeting. In addition to the formal business of the meeting, Pat, Fred and I will talk about our company and be there to meet with you personally. Martinrea is committed to having a strong and diverse board to carry out our duties and responsibilities. We implemented a board diversity policy in 2015 and undertook a rigorous review of our skills metrics to make sure we assemble the right mix of skills, experience and good qualities as described in our circular for the meeting. We are an automotive parts company and our directors, as a group have significant expertise in this challenging industry from a variety of perspectives. We address corporate strategy and risk over critical aspects of our responsibility. Our Board members are dedicated, knowledgeable and all focused on the best interest of Martinrea. I note that no director missed a single board or committee meeting in 2015, another year of perfect attendance. All the independent directors sit on the three standing committees, audit, human resource and compensation and corporate governance and nominating to ensure the Board had full independent director input in what was an important year for the company. In addition to the independent directors, Pat and I will again be nominees. Pat is leading our team in developing and fulfilling our strategy, driving operational excellence throughout the company. I’ve been with Martinrea since it was formed. To close, Martinrea continues to have a great future and highly experienced and dedicated management team and strong independent Board of Directors dedicated to creating shareholder value for years to come. On behalf of all of us, we would like to thank our shareholders for your ongoing support as we move forward together to building a stronger Martinrea. It is with immense pride and respect that we serve you all, and we will continue to do our very best to serve you well. We really have fun doing what we do, as do our people, and we believe our efforts in 2016 will result in our best year-to-date. Now it’s time for questions. We see we have shareholders, analysts, and competitors on the phone. We may have to be a little careful with our comments that we will answer what we can. Thank you all for calling. 
Operator: Thank you, Mr. Wildeboer. We will now take questions from the telephone lines. [Operator Instructions] The first question is from Mark Neville with Scotiabank. Please go ahead. 
Mark Neville : Hi, good morning guys. 
Rob Wildeboer: Hi, Mark.
Mark Neville : Just want to dig into the Chrysler 200 program if I remember correctly I think this played a pretty big part and turnaround your outstanding result in Detroit. So I was trying to get a sense of how much of a headwind this could be just given the lower volumes and the plants move production to Mexico. Is it just one year your facility is being impacted and are there other programs going through that same facility now? 
Pat D’Eramo: We supply Chrysler from the Detroit facility as you noted. We do have other business in that plant and frankly right now, we are working with the customer to better clarify their actual production decision. They haven’t come to a clean number yet. They are still working on it and we are working with them. I would suggest or think that within the next month or two, we will have a lot more clarity on the future of that US program and how it will impact our plant. 
Rob Wildeboer: From a broad perspective and I think this is a good question. There is another aspect to the Chrysler announcement in the sense that they want to use their production capacity to build other larger stuff. We have a broad range of products on Chrysler products including the Pentastar engine block which tends to go into the larger vehicles. So, if you look at it from a holistic basis, it’s good that we have a customer that’s focusing on, say, products that are going to make the money for the long-term. But, as it goes in the context of that particular program, there is no question that volumes are down and we are assessing it. One of the things they had mentioned, I don’t think they know the answer or anyone knows the answer is, whether a third-party, somebody else ends up with the program. So, you probably know as much as we do in terms of where that’s ultimately going to go. 
Mark Neville : Okay, okay. So, but it does sound like, I guess, maybe by next quarter we will have a little more color on sort of where that goes and what your plans for the facility would be?
Pat D’Eramo: Yes, that’s my feeling, by next quarter we will be able to clarify where we are at and as Rob said, the good news is, is that, Chrysler tends to put another product in that plant. So that will help us to understand what we can do. 
Mark Neville : Right, okay. And just on the – when do we see the peak low in volumes there. Just trying to get a sense of I guess, margin cadence through the year.
Pat D’Eramo: We will see the peak low over the next couple quarters. So, heading into the year end, we’ll hear a low there and come early 2017 we will start launching the backlog in – and the top-line will start building back up. Again, we’ve done a lot of restructuring there and the expectation is, is that as it builds back up, we will benefit from that financially and economically. 
Mark Neville : All right, okay, maybe just a last question, I am just curious if it’s Riverside, if that’s sort of back to full volumes now. I remember there being sort of a supplier issue for the customer in Q4. 
Rob Wildeboer: They’ve had a few supplier issues, fortunately we haven’t been one of them. But I would say from what we can – what we’ve seen is, it’s moved out quite a bit now. Riverside was impacted by the Japan earthquake. So it’s been down for a few weeks because of that, but I believe this coming Monday, they come back full blast. As my understanding is, GM plans to make the volume up with over time. So, sales are still continuing to look real good. And the good news is, we’ve launched particularly well at Riverside, we’re very happy. That was in the unique plant because we do both welding, painting, and assembly in one facility and sequence build and we are all happy with the results of that so far. 
Mark Neville : Okay, thank you very much guys. I will get back in queue. 
Rob Wildeboer: Thanks. 
Operator: Thank you. The next question is from Todd Coupland with CIBC. Please go ahead.
Todd Coupland : Yes, good morning everyone. 
Rob Wildeboer: Good morning. 
Pat D’Eramo: Good morning. 
Todd Coupland : I wanted to ask you a little bit more detail about the program puts and takes and what it means for your Q2 outlook. So, excluding FX translation, I think, Fred called out up production volumes. So, you may just talk about what programs are moving higher which will allow you to offset those lower 200 volumes?
Fred Di Tosto: Are you referring to the second quarter? 
Todd Coupland : Yes, through the second quarter guide, yes. 
Fred Di Tosto: Yes, so, as I noted, the foreign exchange translation is the biggest headwind at this point. And Chrysler 200, we are expecting some lower volume there as well as some GM unplanned shutdowns. Offsetting that, we are seeing higher volumes across many of our platforms. The one in particular that’s going to help in the second quarter is, is the V6 Pentastar engine block which is expected to come back and hits full volume by the end of the second quarter. So as I noted, it retools in the first quarter and actually at the end of 2015. So we experience a low level of volume there and it’s starting to come back up as we speak and we will hit peak in the second quarter. That’s definitely going to help and that impacts our facility in Mexico and that’s a fairly substantial program for us. 
Todd Coupland : Okay, and do you have visibility, like if the C200 just goes away, do you have visibility through the second half of the year with new programs that will allow you to offset that in a similar way to what’s happening in Q2?
Fred Di Tosto: In the short-term, likely not. It is a fairly substantial program for us. Just to give you a sense, it’s about $80 million of business annually and Q1 we – the plant was down for about 11 weeks and we are continuing to expect that in the second quarter. As Rob noted longer-term, now they are going to be building trucks in that facility which we charted position to potentially take advantage of. So, we will have to assess that over the next couple of months and take it from there. 
Pat D’Eramo: But, you know, just simple math, I mean, $80 million out of, let’s say roughly $4 billion, that’s 2%. I mean, we got 44 plants. We got lot of stuff and we’ve got a lot of big – lot of programs that are larger as well. So, 2% plus or minus isn’t that much. 
Todd Coupland : Yes, no, that’s a fair point. Thank you for the clarification. 
Pat D’Eramo: No problem.
Todd Coupland : And then just on the margin side, it seems like you are experiencing, I know if you would characterize this as just day-to-day business, program volatility, but you still showed some improvement in margins. Would you say it was exaggerated in the quarter and then and it held back your margin improvement goals? Or is this kind of volatility that you are calling out just something that we will need to live with as you march towards your margin goal? Just talk about that a little bit.
Fred Di Tosto: The launch activity as you know this is normal course stuff. You know there are going to be some launch cost as we launch work. So there was nothing abnormal from our perspective. We have seen some delays in some of those new programs that are going through the new facilities, which as maybe extended to a period of time where we are in launch mode or pre-operating mode. But as you can see from our guidance going forward, we are going to start seeing those cost subside in the second quarter. So if you read into the guidance, lower production, sales but earnings are going up. So margins are going to start improving. 
Todd Coupland : Okay. 
Fred Di Tosto: I am just a simple guy. This was a really strong quarter. We did $0.038, we’ve guided $0.35 to $0.39. We had some FX for instance. I think margins are coming along as planned. 
Todd Coupland : Now that’s helpful. And then just last question if I could. So, negative free cash flow in the quarter, but it’s seasonal. Can you give us a expectation of where free cash might be in Q2?
Fred Di Tosto: So, the working capital as always affect in the Q1. So we saw that this quarter and over the course of this year, we should start seeing that normalize. The one caveat to that is, is we are seeing a lot of tooling activity. So we have a lot of money tied up in tooling inventory right now. So as that kind of works its way through the system, we are expecting the working capital to come back to more normal levels. Some of that is going to happen in the normal course, some of it’s going to happen with us converting the tooling into the cash. And then, as that happens, our free cash situation should improve and as I note on the opening remarks, we are still committed to hitting the 1.5 times net debt-to-EBITDA come 2017 and to get there, it’s going to require to generate some free cash flow. So, it’s coming. 
Todd Coupland : Okay, thanks gentlemen. 
Fred Di Tosto: Thank you. 
Pat D’Eramo: Thank you.
Operator: Thank you. The next question is from Ben Jekic with GMP Securities. Please go ahead.
Ben Jekic : Yes, good morning. I just wanted to ask quickly, you suggested the gross margin year-over-year growth is partly due to performance in China and Slovakia and if you could just put a little bit more color there? And then my second question is, I am assuming that then the net debt to EBITDA expectation for 2017 is still in the 1.5 times range.
Rob Wildeboer: Who wants to answer that? The second question, our target is to be 1.5 for come 2017. We have obviously noted an improvement year-over-year and we expect a similar outcome this year and then heading into 2017. So, we believe it’s very doable and we are committed to that. As for Slovakia and China, and those are plants that open up a few years ago and based on a particular backlog of business, since we open up those facilities we will enable to increment that backlog and both of those facilities are currently ramping up and benefiting from that business. We have actually, we are looking at some expansions there as well. So, the facilities are doing well. China, one in particularly from our perspective is a big step for this organization. We have proven that we can make money in China. That facility is not profitable. As seen in our rest of the world segment margins, because we have headwinds in Brazil right now. We have a new facility in China that hasn’t launched its anchored program. But those facilities are clearly contributing to the overall picture right now. 
Ben Jekic : Thank you. Perfect. 
Rob Wildeboer: Thanks. 
Operator: Thank you. The next question is from Mark Clarke. A private investor. Please go ahead.
Unidentified Analyst: Good morning everyone. 
Rob Wildeboer: Morning.
Pat D’Eramo: Morning. 
Unidentified Analyst: Congratulations, what a business? Fabulous watching you guys over the past couple of years. I was – my first time coming to a call. I just have a couple of quick questions. One question as a independent investor who gets excited about news as opposed to an analyst who crunches numbers. One of the things that always struck me about Martinrea is how we go from one quarter to the next without ever making any kind of statement about the business or about any contracts that are happening or any types of events that might be transpiring that could get the common guy in the street like me sort of putting an eyeball towards the business if you will. So I am not cheerleading, but meaningful news releases. 
Rob Wildeboer: Okay. That’s a fair point. We – our approach has been and it’s also good to ask question. Welcome to the call. I don’t think we’ve ever talked, but it’s a real pleasure also to have private investors on the phone. These things can be a little technical as people are building their models and any time you want to have a discussion or a visit or a cup of coffee, we love talking to our shareholders. What we’ve tended to do is a disclosure guideline show we say, is talk about new business at quarter end. We tend to – and we talk about new business as opposed to repeat business typically. And maybe that’s geared a little bit because that’s what people like to see when they are building their models. We are also careful about putting announcements out on particular program wins, because quite frankly, customers don’t like it very much. General Motors for example and Ford, they don’t even like their name if you announce a contract award put in a press releases or we are fairly careful about that on one-time stuff and that’s just the nature of our business and so we are careful about that. I do think that we are generally available to – for people to see what we do in that type of thing. And we do talk at conferences from time-to-time. But, I take your comment and we are very careful about press releases. That’s all I could say. 
Pat D’Eramo: Certainly, what Rob said as far us phone calls, emails, or visits, we are always happy to meet with people regardless of their investment size. So, you are more welcome to ask us questions, give us a call, or any nature and we’d be happy to participate. Certainly, we’d love to see at our AGM and we tend to show a little bit about what we are doing. Tend to show a little video and that type of thing as well. Love to see you there. 
Unidentified Analyst: Thank you for all of that. I’d love to be there and I’ll likely be in Toronto around the 7th, 8th, 9th of June. So maybe I’ll make it. 
Rob Wildeboer: Great. 
Unidentified Analyst: To return to my point, I just want to reiterate that, with so many people looking for an opportunity either for value, or for dividend, this stock appears to me to be undervalued and so as people scoured if they hear a little bit more about the business, as people are scouring the internet and looking for investment opportunities that are laid public, I just think that there is huge opportunity and just maybe being a little less quite between calls if possible. So, I’ll move on. A - Rob Wildeboer Thanks. 
Unidentified Analyst: Thanks very much for the answer. I was speaking with my investment advisor yesterday and he brought up the point that he feels that aluminum prices are going to be increasing over time. You spoke a little bit about that in the release yesterday more or less. But, are we – is that going to negatively impact us over time?
Rob Wildeboer: So, generally speaking, we don’t carry a lot of commodity risk in our business. So we buy – buy still on OEM resale programs and we have a very similar mechanism when it comes to aluminum. So we get pricing adjustments in reset as the market pricing of aluminum changes. So, if it were to increase, our pricing would follow. 
Pat D’Eramo: The one thing that we have seen over many decades, is the car companies when they make a decision on putting commodity into a vehicle, they look at the different price of steel and aluminum as well and aluminum is typically more expensive than steel, but it’s also lighter. And given where we are in the environment, where there is a huge push to improve miles per gallon. Where there is a huge push to reduce carbon footprint. Aluminum is certainly a key consideration for the car companies. So, unless you see some really highly increased pricing, we see certainly a growing trend to aluminum and that’s consistent with our customer views as we see in product planning and as we see them effectively giving us and the market information. 
Unidentified Analyst: Okay, so as there is more demand, and increased supply, they see the willingness to pay for the product and questions will follow and so it won’t negatively impact us plus the way we purchase it, that’s clever.
Pat D’Eramo: Yes, well, we try, yes it’s 
Fred Di Tosto: Pretty difficult, most of this stuff.
Pat D’Eramo: I mean, we are very bullish on aluminum. We bought Honsel for a reason. We saw the trend for light-weighting. We are very enthusiastic about the growth in engine blocks and certainly in Honsel’s growth and engine blocks in very rough terms. We think that when we bought Honsel they were involved in roughly 1 million engine blocks. That number is greatly increased and if you talk to the people in our Honsel group, we are going to go to a 3 million, 4 million, 5 million engine blocks as we went it over time. Certainly, a very good place for us to be and we have leading edge engine block capability. We are also very enthusiastic about the structural aluminum parts business, particularly the hollow parts. We think that we are world leaders in that. Our customers view us that way. We are doing a lot in terms of winning work and rolling out work and a lot of the increased volume that we are putting in launches, particularly in Spain involves hollow engine parts as our Chinese aluminum facility. We think that we are in a sweet spot in both those areas with tremendous growth opportunities. 
Unidentified Analyst: Well, that’s fantastic. Thank you. And my last point today is, just that, we keep repeating and we were saying it in our release is, as I say, or I am a shareholder, that we are going to be at that 1.5 as a ratio and there is one group in Toronto who soundly sumped us back in early March suggesting that they didn’t believe that that ratio was going to be achievable. I was just wondering if anyone is going to – if they are on the call or if anyone is going to give them a buzz and walk them through the numbers once more. 
Rob Wildeboer: We like hockey analogies and so, particularly in Toronto we are released and we do put first overall. We are very happy. So it’s very focused right now. But we try and put pucks in the net and so, certainly, I have been here for a long time. Pat has been here now. I think this is… 
Pat D’Eramo: Year-and-a-half.
Rob Wildeboer: The quarter we are reporting and every quarter, we are announcing a quarterly improvement. I think that the last five quarters were all been record quarters. And it’s a question of putting pucks in the net on a consistent basis. What we want to do is, meet what we put out there. Of course there are things that are going to happen in the industry. I think, there is an undue pessimism for the auto industry right now, which is why we talk about the macro view. We think this is a good place to be. We think we are well located. We think our customers are doing well. It’s a very good time to be in an industry when customers are making money. We were in an industry ten years ago when they were not making money and it’s a lot better that to be a supplier when your customers are making money in GM and Ford both announced quarterly profit records. We’d like to see that. People are buying vehicles. There is a lot of excitement in this industry right now, with new technologies and quite frankly, we think it’s a good place to be. But we have to keep putting pucks in the net. And that’s what we are doing and that’s what Pat talked about in his remarks and Fred and myself and that’s what we are committed to doing. 
Unidentified Analyst: Excellent. That’s all my questions for today. I am delighted to be a participant on the cal and I am very excited about the business. 
Rob Wildeboer: Okay, thank you.
Operator: Thank you. The next question is from Peter Sklar with BMO. Please go ahead.
Peter Sklar: Thanks. 
Rob Wildeboer: Peter, we want to you to be as enthusiastic as the last guy. 
Peter Sklar: Okay. 
Rob Wildeboer: And we know you are a hockey player. So, pucks in the net is a good analogy for you too.
Peter Sklar: Okay. Fred, the quarterly foreign exchange gains and losses that you have, could you explain what the nature of that? It sounds like its translation of balance sheet items? 
Fred Di Tosto: Correct. So we have a long position in Canada. We have some US-denominated sales contracts. So, that’s essentially where it’s coming from. 
Peter Sklar: So is it on the translation of revenue or the translation of the receivables? 
Fred Di Tosto: It’s the translation of the balance sheet. 
Peter Sklar: Okay. Okay, and Pat, I just wanted to ask you, like, as you know the – if you look at Martinrea’s return on capital employed overall, it’s lower than some of one of your – it’s lower than some of your peers. So, now that you’ve been at the company for a while. I am just wondering if you could reflect on why the return on capital is lower and where you see the opportunity to improve that within the company. 
Fred Di Tosto: I think that, earlier on, probably it wasn’t as much assessment of the returns as it was focused on growth. It was about winning business and filling the plants for absorption, because a lot of the plants were new, like the TK plants that when Martinrea purchased those were half empty. So, a lot of the focus was on, let’s get the place filled up versus now we are very focused more on our hurdle rate thinking and we are turning programs down. If they are not going to meet the number, we are not buying any business. We will walk away before – we’ll take on a bad investment. So interestingly enough, and a lot of it’s due to the aluminum growth, is internally it’s becoming more of a competition for money. Who can give us the best returns, gets the money and that has been a kind of a new set of rules that we are following now. So, as we see new programs coming down the road over the next two, three years, we expect the returns to be at or better than our hurdle rates. 
Rob Wildeboer: I think just as read to that, and 14 years we spent building a footprint. So, we are relevant to our customers. We’ve done that in the metallic side. So that we are in Mexico, Canada and the US and basically following where our customers have plants, because of the size of the product that we have to be relatively close to our customers. On the fluid side, we now have the footprint. We are in North America. We are also in China and Slovakia profitably as Fred mentioned, and aluminum is a worldwide footprint as well. So, you have to get to the size or you are relevant to the customer. So you are invited in all the quotes and all that type of stuff and with respect to our customers, I’d say, use Ford and GM as examples, we are probably in the top 30, 25 maybe suppliers for them in the world overall our product range. That’s a significant size that means that we have significant presence on one-on-one discussion at all levels of the organization, whether it’s at the top level or whether it’s at a plant-to-plant level. And so you get that. Martinrea, the new book, so to speak as a new chapter or the new part of the same book is more focused on those traditional metrics. So, our return on invested capital, we look at it over a longer timeframe than some. When you are building a business, you don’t have your returns in a short period of time. Everything that we’ve done. Every acquisition that we’ve done, we’ve said, how does this help us with the footprint for the long time, so that we are effectively relevant not just in 2016 but in 2026 and 2036. 
Peter Sklar: Okay. Thanks very much. 
Rob Wildeboer: Thank you.
Operator: Thank you. [Operator Instructions] There are no further questions registered at this time. I would like to turn the meeting back over to Mr. Wildeboer. 